Operator: Good day and thank you for standing by. Welcome to 2023 Amdocs Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised, that today's conference is being recorded. I'd now like to hand the conference over to your speaker today Matt Smith, Head of Investor Relations for Amdocs. Please go ahead.
Matthew Smith: Thank you, operator. Before we begin, I need to call your attention to our disclaimer statement on slide 2 of the presentation. It notes that some of our comments today may be forward-looking statements and are subject to risks and uncertainties, including as described in Amdocs’ SEC filings, and that we will discuss certain financial information that is not prepared in accordance with GAAP. For more information regarding our use of non-GAAP financial measures, including reconciliations of these measures, we refer you to today's earnings release, which will also be furnished with the SEC on Form 6-K. Participating on the call with me today are Shuky Sheffer, President and Chief Executive Officer of Amdocs Management Limited and Tamar Rapaport-Dagim, Chief Financial and Operating Officer. To support today’s earnings call we are providing a presentation which can be found on the Investor Relations section of our website, and, as always, a copy of today’s prepared remarks will also be posted immediately following the conclusion of this call. On today’s agenda, Shuky will recap our business and financial achievements for the second quarter fiscal 2023 and will update you on the continued progress we have made executing against our strategic growth framework. Shuky will finish by commenting on our financial outlook for the full fiscal year 2023, after which Tamar will provide additional details on our second quarter financial performance and forward guidance. And with that, I'll turn it over to Shuky.
Shuky Sheffer: Thanks, Matt, and good afternoon to everyone joining us on the call today. I am pleased with our second fiscal quarter performance as we progressed our strategy to deliver the next-generation, cloud-based software, and services that global communications service providers need to unlock the potential of 5G and broadband networks, data-driven intelligence, and improved customer experience for the consumer and B2B. This quarter we deepened our relationships and expanded our footprint with existing customers added four new customer logos, sustained a high rate of successful project deployments, delivered a record quarter in managed services, expanded our strategic partnership with Microsoft, signed an M&A agreement to enhance the execution of our network strategy, and launched CES23, our most advanced Customer Experience Suite yet, bringing fresh innovation across BSS, OSS and network while sharpening our focus on the B2B domain. These achievements would not be possible without the amazing passion, agility, and collaborative spirit of our talented people, to whom I would like to say thanks for their consistent quarterly execution while also demonstrating the strategic vision necessary to drive Amdocs forward over the long-term. Reviewing the financial highlights on slide 7. Record revenue of $1.22 billion was above the midpoint of guidance and up 8.2% year-over-year in constant currency. On the bottom-line, non-GAAP diluted earnings per share of $1.47 was consistent with the midpoint of guidance as we delivered ongoing margin improvement and strong free cash flow generation in the quarter. 12-month backlog was a record-high $4.11 billion, up roughly 7% from a year ago in constant currency Turning to the operational highlights on slide 8, we delivered continued sales momentum in Q2 which included a significant new digital modernization award at TMobile USA. Deal activity was strong in Europe, which as we have said before is a region of significant growth potential for Amdocs. Our multi-year investments to diversify and increase market share in Europe are bearing fruit, as reflected by record revenue and the award of several significant deals, including digital modernization programs at two new logos this quarter. Similarly, Rest of World continues to present attractive opportunities for Amdocs, such as the new cloud engagement announced today with PLDT in the Philippines. Managed services also had a great second quarter, which included record revenue and newly expanded agreements with Globe, also in the Philippines, and a major operator in western Europe. In media, Amdocs Vubiquity demonstrated continued growth as a trusted provider to the world’s leading streaming services, signing a new agreement which expands its decade-long relationship with Virgin Media UK. Additionally, Hispasat, a Spanish satellite communications operator and new logo, chose Vubiquity to bring digital content to its customers in Argentina and the broader Latin America, while Juice, which is part of Vubiquity, was selected as a Preferred Fulfillment Vendor under Amazon Prime Video’s Fulfillment Vendor Program. From an execution perspective, we maintained a high rate of successful project deployments in Q2, achieving major milestones at many of the world’s largest service providers. For instance, Amdocs played an important role in the recent launch of AT&T’s fixed wireless access offering, “Internet Air”, in select markets, which is running on the new cloud native digital platform we are delivering under the BSSe technology modernization and simplification program with this customer. This quarter, we also took several strategic steps to strengthen our market-leading position and long-term growth profile. First, we expanded our strategic partnership with Microsoft to bring a new AI-powered Customer Engagement Platform which combines Amdocs’ market-leading Commerce and Care suite with Microsoft Cloud portfolio to create what we believe is the most compelling telco-specific offering in the market. Amdocs and Microsoft have already begun to execute a joint go-tomarket strategy to bring this platform to service providers worldwide, and we can already report encouraging signs of customer interest and expanding pipeline of opportunity in both consumer and B2B. Second, we sharpened our focus on the growth potential of B2B with the launch of CES23 which includes enhanced capabilities specifically developed to help service providers meet the increasingly complex demands of their B2B customers. Third, we are today delighted to announce our intention to acquire the service assurance business of TEOCO for approximately $90 million cash.  Amdocs and TEOCO already partner on some opportunities, and we expect this move to enhance the execution of our network automation strategy by providing service providers with a unique end-to-end service orchestration offering, assuring the quality of service and enabling the delivery of next-generation customer experiences. Now, let me update you on our strategic progress as we continued delivering market-leading innovation designed to help service providers. Accelerate the journey to the cloud, create seamless digital experiences by transforming IT operations for consumer and B2B. Launch and monetize new 5G services, and deliver dynamic connected experiences with real-time, automated networks. Starting with cloud on Slide 9, service providers are still in the early stages of maximizing the value potential of the cloud, and for most it will be a gradual journey over several years before they fully realize expected benefits such as improved service agility, scalability, innovation, security and customer experience. I’m happy to share that more and more of Amdocs’ new deals are cloud related, and that a growing number of operators see Amdocs as the primary technology partner to support their core system cloud strategies. The value of Amdocs’ cloud-native product suite is already proven in the cloud, and we have the capability to support the optionality of hybrid environments for customers. Amdocs also removes complexity for operators by delivering an end-to-end, fully accountable migration path which begins with strategic planning and stretches to cloud-native product deployment and cloud managed services, while leveraging our intimate partnerships with Azure, AWS and Google Cloud. I am delighted to report that PLDT and its wireless subsidiary, Smart, are developing a multi-year strategic partnership with Amdocs to accelerate their cloud journey. By bringing our comprehensive suite of cloud services, Amdocs will leverage cloud infrastructure to efficiently migrate business-critical systems and applications to the cloud while also integrating cloud-based applications with the rest of PLDT and Smart's hybrid IT infrastructure. Among other recent cloud wins, Amdocs was selected by a Tier 1 central European operator to support and enable its journey to the cloud for critical BSS applications for affiliates in multiple countries, and we expanded our managed services relationship with a major Western European provider to migrate and operate non-Amdocs applications on the cloud. We believe such deal momentum reflects the market’s growing recognition of our unique cloud-domain expertise, and we look forward to supporting these and other customers as they continue their multi-year cloud journeys in respect to their core systems. Moving to slide 10, service providers continue down a path of digital modernization to grow revenue, reduce cost and improve experience for consumer and B2B customers. I am delighted to report that we expanded our role in digital transformation at T-Mobile where Amdocs Commerce & Care suite, together with Amdocs Monetization suite, will power insightful and transparent experiences across all channels for T-Mobile’s consumer and B2B subscribers. Amdocs was also selected by a major Eastern European operator to create and deploy a new customer engagement platform designed to drive customer loyalty and retention and bolster its social media presence, while a second Eastern European service provider chose Amdocs to modernize its IT infrastructure in a strategic, wide-ranging digital transformation project that will enable a harmonized, frictionless customer experience across multiple channels and touchpoints. We are also collaborating with the YES Network, the exclusive regional television home of the New York Yankees and Brooklyn Nets, to provide a premium customer experience for YES’ direct-to-consumer streaming platform. The shift from physical to software-based SIM cards is another digital theme creating opportunities for Amdocs. Our cloud-based Amdocs eSIM orchestration platform was recently ranked as number one in the market by independent analyst firm, Counterpoint Research, recognizing our growing list of eSIM customers following recent awards with ICE Norway and Drei Austria. Turning to slide 11, global service providers continue to invest in 5G monetization, including next generation charging and policy solutions, to unlock the future market potential of 5G standalone networks. One of North America’s leading service providers recently deployed Amdocs network Policy solution on AWS to support millions of prepaid subscribers. Another great example is WindTre, a large Italian mobile operator, for which Amdocs just completed a modernization project to provide a future proof, 5Gready monetization stack deployed on the cloud. This quarter, Amdocs was also selected by Magyar Telekom in Hungary to provide the policy control function in the operator’s 5G SA program, and we successfully completed a digital transformation project with Melita Limited that will enable the Malta-based operator to further monetize innovative new 5G and IoT-based services for both consumer and enterprise customers. Turning to network automation on slide 12, Amdocs is helping operators to productize 5G network slicing, which is needed to enable the rapid introduction of differentiated mobile services tailored for individual consumer or B2B customers. Amdocs recently helped Bell Canada to successfully deploy its first use case with an automated 5G network slice solution. Amdocs is also bringing fresh innovation to help service providers rethink the ways in which they manage and maintain network towers, while also reducing their carbon footprint. Working with our partner vHive, Amdocs has developed a solution which powers autonomous drone flights to automatically create a digital 3D twin of network towers, much more quickly and safely than deploying trucks with tower-climbing teams when they need to survey a site. Demonstrating early market demand, we are excited to announce today that Verizon has selected our solution to inspect its wireless network infrastructure assets. Now, moving to our fiscal year 2023 outlook, as presented on slide 13. As we have repeatedly said over the last few quarters, Amdocs and our customers globally are not immune to economic uncertainty, and we are closely monitoring the overall operating environment during the current period of rapidly shifting market dynamics. As a key technology enabler and trusted partner to the global communications industry, we believe Amdocs is positioned at the heart of a multi-year, technology-driven investment cycle centered around the major long-term trends of 5G, network automation, digital modernization, and cloud. We also believe in our unique business model, which produces visible, highly recurring revenue streams from the mission critical systems we support under long-term customer engagements. Taking everything into consideration, we are reiterating our full year fiscal 2023 revenue growth outlook within a tighter range of 7% to 9% constant currency, the midpoint of which is unchanged as compared with our previous outlook. On the bottom-line, we are reiterating our outlook for non-GAAP diluted earnings per share growth of roughly 9% to 13% in fiscal 2023, which as you may recall we already raised in the prior quarter from our initial full year growth target of 8% to 12%. Accordingly, we are well on-track to deliver double-digit expected total shareholder returns for the third year running, including our dividend yield. With that, let me turn the call over to Tamar for her remarks.
Tamar Rapaport-Dagim: Thank you, Shuky, and hello everyone. Thank you for joining us. I am happy to report solid financial results for the second fiscal quarter, the highlights of which you can see on slide 15. Record Q2 revenue of approximately $1.223 billion was up 8.2% year-over-year in constant currency. On a reported basis, revenue increased 6.8% and was slightly above the midpoint of guidance, including a positive impact from foreign currency movements of approximately $3 million compared to our guidance assumptions. On a regional basis, we delivered another record quarter in North America where we are continuing to execute on multiple transformation projects for customers across the broader region. In Europe, I am also delighted to report our best-ever quarter, where, as anticipated, we are seeing double-digit growth as new projects awarded over the last several quarters continue to ramp-up. Similarly, Rest of World accelerated on a sequential basis in Q2, driven by the positive impact of customer project activity. Moving down the income statement, our non-GAAP operating margin was 17.8% in Q2, up 20 basis points from a year ago and up 10 basis points sequentially as we continued to realize the benefits of automation and other sophisticated tools implemented to manage costs and drive efficiency gains in our business. On the bottom-line, non-GAAP diluted EPS of $1.47 was consistent with the midpoint of our guidance range, and included a non-GAAP effective tax rate of 16.5%, which as anticipated was within our annual target range of 13% to 17%. Diluted GAAP EPS was $1.23 for the second fiscal quarter, which was above the midpoint of our guidance range of $1.18 to $1.26. For your modelling purposes, beginning this fiscal year our quarterly GAAP and non-GAAP net income includes a new line item for net income attributable to non-controlling interests. This reflects the earnings attributable to our joint venture partner in respect to the land we acquired in 2017 as the site for the new Amdocs Park and will amount to roughly $0.7 million per quarter now that the campus is complete and operational. Moving to slide 16, 12-month backlog was a record-high $4.11 billion, up 5.7% year-over-year as reported, and up roughly 7% in constant currency. On a sequential basis, our 12-month backlog was up by $20 million in Q2. Our 12-month backlog has traditionally served as a good leading indicator of our business, having consistently averaged around 80% of forward-looking 12-month revenue over the years. Turning to slide 17, managed services revenue was a record $719 million in Q2, up 8.4% from a year ago and equivalent to about 59% of total revenue. Globe, a leading digital solutions provider in the Philippines, has extended it's partnership with Amdocs to reimagine their IT operations, enabled by digital transformation & cloud adaptation, for better business alignment under a multi-year managed services arrangement. This move will enable the company to create greater business value through improved customer experience that will result to revenue growth Additionally, we signed an expanded managed services agreement with a major Western European operator to migrate and operate non-Amdocs applications on the cloud, as Shuky highlighted earlier. To remind you, our managed services engagements underpin the resiliency of our business with recurring revenue streams, near 100% renewal rates and expanded activities under multi-year engagements and may sometimes include modernization projects which deepen our relationships even further. Now, turning to the balance sheet and cash flow highlights on slide 18. Reflecting strong execution, I am pleased to report that we achieved many production and invoicing milestones this quarter, resulting in healthy customer cash collections. DSOs of 74 days decreased by 13 days sequentially and by seven days year-over-year in Q2, while the net difference of deferred revenue and unbilled receivables improved by $102 million sequentially. Similarly, we generated robust free cash flow of $259 million in Q2. Free cash flow was comprised of cash flow from operations of approximately $294 million, less $35 million in net capital expenditures, and was strong despite the seasonal timing of annual bonus payments which typically occur in the second fiscal quarter. Overall, we ended Q2 with a strong balance sheet and a healthy cash balance of approximately $0.9 billion, including aggregate borrowings of roughly $650 million. Moreover, we have ample liquidity to support our ongoing business needs while retaining the capacity to fund strategic growth, including the planned acquisition of TEOCO’s service assurance business, which we expect to complete for roughly $90 million cash. Turning to capital allocation on Slide 19, we repurchased $106 million of our shares in the second quarter and paid cash dividends of $48 million. In respect to the full year fiscal 2023, we are reiterating our free cash flow outlook of roughly $700 million. This assumes a conversion rate of roughly 100% relative to non-GAAP net income and equates to a healthy free cash flow yield of more than 6% relative to Amdocs’ current market capitalization Regarding our capital allocations in fiscal year 2023, we expect to return the majority of our free cash flow to shareholders by way of our quarterly share repurchases and dividend payment programs. Now, turning to our outlook on slide 20. To begin, we are continuing to closely monitor the prevailing level of macroeconomic, business, and operational uncertainty, which remains elevated in the current business environment. Thus, the third quarter and full year fiscal 2023 financial guidance reflects what we consider to be the most likely outcomes based on the information we have today, but we cannot predict all possible scenarios. Taking into consideration our performance in the first two quarters, and our visibility to the second half, we are reiterating our outlook for full year fiscal 2023 revenue growth within a tighter range of 7% to 9% in constant currency, the 8% midpoint of which is unchanged as compared with our prior outlook of 6% to 10%. On a reported basis, we now expect full year revenue growth of 6% to 8% year-over-year, as compared with 5% to 9% year-over-year previously. The new outlook anticipates an unfavorable foreign currency impact of approximately 1% year-over-year, which is unchanged compared with our previous assumption. Our annual outlook includes third fiscal quarter revenue within a range of $1.215 billion to $1.255 billion. Additionally, our fiscal 2023 outlook assumes an immaterial revenue contribution from TEOCO’s service assurance business. On an annualized basis, this acquisition is expected to add roughly 0.5% to total revenue in the first full year after closing. Moving down the income statement, we anticipate quarterly non-GAAP operating margins to fluctuate around the midpoint of our annual target range of 17.5% to 18.1%. Below the operating line, we anticipate that foreign currency fluctuations and cost of hedging will continue to impact our non-GAAP net interest and other expense line in the range of a few million dollars on a quarterly basis. We expect that our non-GAAP effective tax rate will remain within an unchanged annual target range of 13% to 17% for the full fiscal year 2023. Bringing everything together, we are reiterating our outlook for non-GAAP diluted earnings per share growth in the range of 9% to 13% for the full year fiscal 2023, which as Shuky reminded you we already raised in the prior quarter from our initial full year growth target of 8% to 12%. Overall, we are on-track to deliver double-digit expected total shareholder returns for the third year running in fiscal 2023, assuming the sum of our expected non-GAAP EPS growth and our dividend yield of roughly 2%. Before passing it back to Shuky, I’d like to take a quick moment to comment on this year’s Mobile World Congress in Barcelona which for Amdocs was an opportunity to showcase our commitment to ESG on the global stage. We published our first-ever interactive map to show how Amdocs is using technology to help its customers achieve their ESG and sustainable development goals and we used an immersive experience to demonstrate how Amdocs is closing the digital divide by connecting consumers in rural areas to digital services, such as education, healthcare and employment. I am also pleased by our successful digital inclusion partnership with Unconnected.org, through which we donated 30 days internet connectivity to approximately 2,000 girls and their families in India for every visitor to Amdocs’ booth. Among other recent ESG initiatives, our International Women’s Day campaign Break the Bias – generated 14 million campaign exposures on social media, and we partnered with Unicef to raise roughly $100,000 via an employee donation drive, with company matching, to support earthquake recovery in Turkey. Finally, we are already seeing the benefits from the implementation of a new worldwide policy by which employees are required to work from their office a minimum of three days per week. This move reflects our commitment to create an exceptional work environment that fosters growth, collaboration, and innovation. I am heartened by the even-greater energy levels I am experiencing among our global employees since moving back to the office; including the new Amdocs Park campus which opened recently. Thank you to all our employees for making Amdocs such an amazing place to work. With that, back to you, Shuky
Shuky Sheffer: Thank you, Tamar. As you can probably tell from our remarks today, we are pleased with our solid financial and operational position at the midway point in our fiscal year, and while the global macroeconomic and industry environment remains uncertain, we are acutely focused on delivering a strong second half and another year of steady and profitable growth. With that, we are happy to take your questions. Operator?
Operator: [Operator instructions] And our first question will come from Tal Liani of Bank of America. Your line is open.
UnidentifiedAnalyst: Hey guys, this is [indiscernible] on for Tal. So two quick ones for me. So first you talked about some solid service provider wins including T-Mobile. We've heard from some networking vendors in this quarter and the last quarter about weakness and service providers. Can you talk a little bit about the spending environment and why you're positioned to keep winning business despite disappearance spending slowdown in that segment?
Shuky Sheffer: Sure. Hi, this is Shuky. Good evening. Send my regards to Tal. I think it’s part of our strategy and we talk about the areas that we focus today, which is digital transformation a 5G deployment organization. The journey to the cloud in B2B and consumer, would argue that all these pillar are extremely strategic to our customers. So while obviously we watch carefully the environment, we believe that our customer pushing forward the strategies and what we do for them is really the heart of their strategic domain. So as I said, always, I don't think that Amdocs is immune, but by the fact that we are running their mission critical system and most of the project that we do are in the heart of the strategy help us to mitigate headwind that some of our customers are facing.
UnidentifiedAnalyst: Got it. And if I can sneak in a follow up quickly, can you give just a little more color around the tightening of the revenue growth? What exactly is driving that and as a result of that, do you still see 8% constant currency growth in fiscal '24? Thank you.
Tamar Rapaport-Dagim: As we moving the year and already halfway through we are obviously tracking very well with a strong half one and looking forward both in terms of the backlog that is representing over the contribution for the next 12 months of what we find as well as the python that is looking strong, we felt that it's making sense to tighter the range and make it kind of more clear what we thing should be the possible -- the likely outcomes in terms of the revenue growth keeping, of course the midpoint of the 8% concurrency growth unchanged. Now in terms of the difference between the reported revenue growth and the constant currency revenue growth, we're maintaining this 1% headwind that we talked about already in the prior quarter.
UnidentifiedAnalyst: Got it. Thank you both.
Operator: And our next question will come from Ashwin Shirvaikar of Citi. Your line is open. Hey
Ashwin Shirvaikar: Hey. Good evening folks. How are you? I wanted, obviously the big topic on every earnings call nowadays is with regards to macro. And you guys have called out not just this time, but last time as well that you and your clients are not immune. But when I kind of look at sort of the wins, I would've expected perhaps maybe, sort of client decisioning to move more towards cost and productivity type things. Say for example, network automation or cloud optimization, things like that, but you're actually signing all across the board. Is there any difference that you see from a client perspective with regards to how they're engaging with you, sort of the contract terms, decision making time, ramp time, anything like that that you can call out as far as your portfolio is concerned,
Shuky Sheffer: Hi, Ashwin. It's Shuky, I don't think we see different change. I think that deal cycle are pretty much the same. The pipeline is very rich and yes, in some of the deals I would say that TCR reduction is getting maybe a bit more of, I would say, recognition than in regular times, but this is always true. Now say, a very large manage services deal in a very large Western operator, obviously it includes moving to the cloud. So, the benefit is obviously business agility, higher security environment, and TCR [ph] reduction is part of it. So, I will not say that TCR reduction is the most of the dealers you mentioned, we have a very nice solid quarter in sales in every parametal call strategy. So I will not say that TCR reduction is not getting a more highlight, I think it is, but I think it's reflected in many of the deals as an additional value that we can bring as part of the deal. I don't think this is the number one reason to do this deal. The number one reason to that way we are able to deliver our services in product is I think because the value which is critical to our customer in their journey.
Tamar Rapaport-Dagim: One, thing to add maybe is that given the new architecture technology of our products in the way we continuously deliver to productions to our customers in a continuous manner, a very fast pace, customers can enjoy the benefit very fast from our R&D shop to what they can enjoy in their production environment. So, the value creation is in a very different space than what it used to be in the past, which I think it's very compelling in this environment where customers would like to move fast but also see faster returns to their investments.
Shuky Sheffer: Just to add on top of it, definitely the level of automation that we introduce in all our product and services, I think also creates a great opportunity for our customer to reduce the cost.
Ashwin Shirvaikar: Understood. With regards to talent, one of the things we've kind of seen, obviously, again related to the environment is that the supply side is becoming a little bit easier. Lower wage inflation, lower attrition, things like that. If you could comment on what you're observing and how it sort of drives your, I guess, inclination to kind increase headcount in particular areas if you could comment on that.
Tamar Rapaport-Dagim: So I think we clearly see a change in the environment, in terms of the labor market, but, I think of focus on making sure that employee engagement is high has begun way before the great resignation era, and we continue also the great resignation era. We are very focused on people as a key talent and key assets of the company. It's not just the slogan it has to do in many things that we are doing. And clearly, yes, the competition talent has ease up and yes, we see voluntary expression going down, but focus on making sure that we hire the best talent onboard them in the most effective way, continue to have a high optimization engagement focused on upskilling people that they can move internally. And all of those things that we've been doing in the last couple of years continues and it should continue, but clearly the supply is that and I think that's another point is that we are seeing this is an opportunity of course to also continue and elevate the new skills that are required. And this is happening all the time, whether we're talking about cloud or whether we're talking about experience design or any of those skills that are required today talking about data analytics, whatever it is, it's clearly on our agenda.
Shuky Sheffer: Yeah. But the bottom line, as Tamar said, the label environment is in completely different place comparing what it used to be probably year ago.
Ashwin Shirvaikar: Absolutely. let me let me hand it back. I might come back later on for another question.
Operator: [Operator instructions] And our next question will come from Timothy Horan of Oppenheimer. Your line is open.
Edward Yang: Hi Shuky. Hi Tamar. This is actually Edward Yang for Tim. Congratulations on another clean quarter. Just my first question on backlog growth that has moderated somewhat, it was like 10% about a year ago. It's come down at 6%. What's driving that and, what would, what would get that to pick back up?
Tamar Rapaport-Dagim: So just the clarify the number, we've mentioned the indeed 5.7% on a reported basis, but constant currency basis year-over-year growth of the back is 7%. And I think some why we're talking always and for a good reason on back as a leading indicator, we shouldn't take it kind of mathematically on as quarter. For example, you've seen two quarters ago it was sequentially up $20 million, then $120 this quarter, again, $20. So it's not something that is necessarily consistently moving like a Swiss clock. I think the most important thing is the trajectory is very strong. We are continuing to sign important deals. Some of the deals we announced today actually are going to fuel much beyond the next 12 months revenue. It's not factored into the 12 months backlog. For example, the new metal services extension and cloud migration with the leading West European carrier major deal will take time to set up. It'll get to the full run rate of revenue only mainly impacting 2024. So, we definitely see this kind of phenomena, but it's great. It's giving us visibility beyond the next 12 months. So we are tracking, of course, all the time, our backlog and our pipeline and the pipeline soon, and we're looking forward to see how we fulfil this great momentum.
Edward Yang: Okay. That's good color. And just looking at the U.S. wireless industry. Industry phone adds are coming down year-over-year, somewhat mid-single digits. Are you sensitive to that volume change? And within that, the composition of net adds has been changing where, this quarter, we saw cable MVNOs grabbing much more market share versus the telcos grabbing more like half the subs -- postpaid subs versus about 1/3 last year. Does that mix shift affect your revenue and margin?
Shuky Sheffer: First of all -- so that we are not connected to this. Obviously, we want to see our customer growing faster, but there is no correlation between the net adds to our revenue. But if you brought it, we see a very interesting phenomena that the cable guys are talking about wireless -- by the way, we are very happy, as we announced before, that we are behind the Comcast, Charter, all of them are using our platform for their mobile offering. And then the opposite, actually, the wireless guys are talking about fixed wireless, which also, we are very happy to support in T-Mobile, in AT&T and some other big customers. By the way, also AT&T launched their first Internet air product on our new platform this quarter. They are a fixed wireless offering. So there is no direct connection, and I can tell you that we are very busy working with our customer on the strategic, I would say, direction. We mentioned a very important deal in T-Mobile this quarter, which is critical for T-Mobile for their future growth. So we are very happy in the way we are supporting our customers.
Edward Yang: And if I could just squeeze one more question in. Just the strategic partnership with Microsoft on the AI customer engagement. I know you announced that during Mobile World Congress, but what -- how has the selling motion been for that product? And is this more of an expansion into existing customers? Or are you bringing on new logos or displacing competitors?
Shuky Sheffer: It's both, and we are very excited about this partnership. I think this, as we mentioned, I mentioned in my script, this unique combination of Amdocs [indiscernible] pretty much market-leading CES suite for all the monetization and fulfillment aspects, integrating with a very strong cloud-based dynamic application, other application of Microsoft, obviously, integrating generative AI as part of the full offering, it creates what we believe is, by far, the best offering in the market. Now we, together, are working very closely with Microsoft. In some cases, we are talking about going to a completely new logos for Amdocs and for Microsoft. In some cases, its expansion with existing customer. We see very -- I mean this was really relatively new. It's like 2 months old. We see a very, very nice growth in potential pipeline, potential deal, and we are working very close to -- with Microsoft to make sure that we are able to mature these deals. But I think the bottom line, this joint offering give us together very, very, I would say, by far, the leading suite for both consumer and B2B.
Operator: And our next question is a follow-up from Ashwin Shirvaikar of Citi.
Ashwin Shirvaikar: The follow-up was more product-related. I want to ask about AI, important topic, obviously. And you mentioned it a couple of times in the course of this call. But the way I understand it, AI is integrated and a part of CES23 -- the way your approach to AI is embedded solutions that use AI for a variety of functions. Is that the right way to look at it? Because this is obviously an important topic of conversation with investors and there seems to be a lot of noise on the topic. So if you could sort of lay out [indiscernible].
Shuky Sheffer: Thank you for this question, Ashwin. First of all, we are very happy for this partnership with Microsoft, which gets us very closer to this generative AI capabilities. And while we are building and integrating right now what we call the customer [indiscernible] platform with Microsoft, it's going to -- definitely, we're accelerating the generative AI capabilities. We see generative AI capabilities -- and we are actually evaluating all the potential options right now, and we see a lot of opportunities. It's both internal and external. I can give a couple of examples. Internal, we see to the opportunities to generate automatic test cases and using our very large testing, say, business. So this is one area that we are looking. I believe example cause there many more. And we see, in some cases, when we need to do a cost conversion, so we are going to use these capabilities and many other places, this is more like internal. Externally, we're already looking internally, and together with partnership with Microsoft, to see how we can actually elevate self-service application to do much more, and we talk about our monetization platform, how we can [indiscernible] better offering to consumer and B2B using this type of capability. This is early days. I can tell you that there are many teams in the company and together with partners like Microsoft elevating the potential. We believe the potential is huge. And it's in many managed services engagements, in our development capabilities and others. I believe that probably we are going to be much more mature in probably a couple of months. But definitely, it gets a lot of attention. And I think that, as I said, the partnership with Microsoft gets us a great access to these capabilities.
Operator: And I'm showing no further questions. I would now like to turn the call back to Matt for closing remarks.
Matthew Smith: Yes. Thank you. And thank you, everyone, for joining the call today, and we look forward to hearing from you very soon. Please reach out to us here in the IR group if you have any questions. And with that, have a great night.
Shuky Sheffer: Thank you, guys.
Tamar Rapaport-Dagim: Thank you. Bye-bye.
Operator: And this concludes today's conference call. Thank you for participating. You may now disconnect.